Operator: Greetings, and welcome to The Hershey Company First Quarter 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Melissa Poole, Vice President of Investor Relations for The Hershey Company. Thank you. You may begin.
Melissa Poole: Thank you, Melisa. Good morning everyone. Thank you for joining us for The Hershey Company's first quarter 2020 earnings conference call and webcast. We'll begin with remarks from Michele Buck, Chairman, President, and CEO; and Steve Voskuil, Senior Vice President and CFO, followed by a Q&A session. During the course of today's call, management will make forward-looking statements that are subject to various risk and uncertainties. These include expectations and assumptions regarding the company's future operations and financial performance, including expectations and assumptions related to the impact of the COVID-19 pandemic.  Actual results could differ materially from those projected as a result of the COVID-19 pandemic as well as other factors. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and company's SEC filings. Finally, please note that on today's call, we will refer to certain non-GAAP financial measures that we believe will provide useful information for investors. The presentation of this information does not intend to be considered in isolation, or as a substitute for the financial information presented in accordance with GAAP. Reconciliations to the GAAP results are included in this morning's press release. It is now my pleasure to turn the discussion over to Michele.
Michele Buck: Thank you, Melissa. Good morning everyone and thank you for joining us today. I hope, first of all, that you and your loved ones are safe and healthy. We are all experiencing an unparalleled and rapidly evolving global pandemic. Our thoughts go out to those that have been impacted and we'd like to extend our sincere thank you to all of the heroes working to keep people safe during this difficult time. As you all know, food companies play an important role during this crisis, helping to ensure a steady food supply and supporting local economy. We recognized that Hershey is not only a food manufacturer, but also an important link in the broader food supply chain, particularly with farmers and other raw material suppliers that rely on us. I could not be more proud of The Hershey team and how they are responding to this situation, first and foremost, with the care and support they are showing for each other, their families, partners, and communities. But also with their relentless energy and passion to continue to safely operate with excellence. I'd like to extend a heartfelt thank you to all of them, especially to those in our manufacturing plants and those working at retail to make moments of goodness for our consumers during these difficult times. The situation continues to evolve so rapidly that it's difficult to predict the future with much certainty. While comparisons can certainly be drawn to weather related disruptions or natural disasters or recessions, the reality is that we have never seen so many factors at play at the same time on such a global scale. But we are committed to being transparent about what we are seeing in the marketplace and what we are doing to respond. We will continue to be forthcoming as we navigate this uncharted territory and we believe we will have more visibility in the coming months as the situation stabilizes. Let me start by saying pre-COVID-19, our business was on track versus our expectations, both in Q1 and our outlook for the full year. Now, let me share some details around what we are doing from an operations perspective, before I discuss what we are seeing in terms of consumer behavior. The health and safety of our Hershey team remains paramount in our decision-making and action. Food safety has always been at the center of our day-to-day operations, and that will continue. As the pandemic spreads, we are monitoring the changing environment daily and we are adapting as the situation evolves. We've put in place more stringent operating procedures and safety protocols to help ensure the well-being of our employees, their families, and everyone with whom they interact. We are doing our best to enable social distancing and other safety and cleaning protocols across all functions. And meet our commitments to support consistent community food supplies and the needs of our retail partners. As you would expect all of our corporate and commercial employees who are able to, are working remotely. A big thank you to our IT team who have done an outstanding job making the transition to virtual work as seamless as possible. And also to our HR team for the wealth of resources, they continue to provide our employees to effectively manage work remotely. Currently, all of our manufacturing plants remain open and we continue to operate our supply chain with limited disruption. As the situation began to unfold, we built inventory in both raw materials and finished goods to mitigate risks and to help us to continue meeting demand. This proactive approach coupled with our experienced and dedicated team has enabled us to consistently deliver strong customer service levels. Our first quarter case fill rate was over 98.5% with a 99% case fill rate in March. And despite incremental marketplace challenges in April, our case fill rates remain close to 98%. Utilizing flexible scheduling, the majority of our sales reps remain in stores, partnering with our retailers to provide much needed support. This continued in-store presence, combined with our strong customer service, has driven confectionery share gains of almost 300 basis points during the past month. Our manufacturing and retail employees have shown amazing dedication and resilience and we have implemented incentives to recognize these contributions for employees who can safely work to keep our operations running. We have closed our own retail locations, including our Chocolate World Store in Hershey, Pennsylvania; Times Square, New York; and Las Vegas from most of Q2. While sales in our retail locations are relatively small in proportion to our total business, we do expect several months of closures to have an effect. In addition to our retail stores, there are several other parts of our business that are seeing an outsized impact, including our food service business and our travel retail business, both of which are seeing channel decline of 75% to 80%. And we saw a meaningful category decline in China during a key seasonal gifting window in the first quarter. Combined, these businesses represent approximately 6% of our sales. Now, let me share a little bit about what we're seeing with the consumer as it relates to our core business in the U.S. Pre-COVID-19, our business was tracking in line with expectations with retail takeaway up a little over 2% and confectionery share gains of about 20 basis points. Easter, an NCAA March Madness were sold in and merchandised in store. Our key innovation was largely in markets, including Reese's Take 5 and KitKat Duo and many of our key customers began selling our new thins items before any retail disruption occurred. Similar to many other food manufacturers, we saw a benefit from consumer stock up in March, though to a lesser degree than meal-oriented categories. This was consistent with our expectations and what we typically see with weather-related pantry loading. Total Hershey retail sales growth accelerated to 10% in March. This growth was across all classes of trade, with particular strength in food, mass, and dollar channels. We were in a great position to support this increase foot traffic and demand as we had strong merchandising and ample inventory in stores as we geared up for Easter and our NCAA promotion. We delivered a solid Easter season despite the significant disruptions we saw in both the retail environment and in consumers' lives. Recall we did expect the season to decline versus last year, given Easter was a week earlier this year. Overall, our selling was in line with expectations. Retail takeaway got off to a strong start and sell-through was pacing ahead of expectations heading into the final week. We did, however; see large changes in the macro environment during that final week. This impacted consumer trips and overall category performance and sell-through. Throughout the season, including a difficult final week, our teams executed well. We delivered retail takeaway and sell-through ahead of competition. While our sell through came in slightly below expectations, we expect minimal impact to the P&L or to retail takeaway in the coming weeks. As a reminder, confectionery retail takeaway for the beginning of April is elevated due to the earlier Easter. We anticipate takeaway in the second half of April to be pressured as a result of this shift. Please keep this in mind when you're evaluating retail trends in the next few weeks, particularly as it relates to quantifying any COVID-19 related impacts. Now, let me spend a few minutes discussing some of the changes we are seeing on our everyday performance. As I mentioned, we experienced the lift in March due to consumer stock up. Our grocery and snacks businesses in particular saw increases in both household penetration and basket size. Hershey syrup, baking chips and cocoa all grew approximately 30% during March, and trends have remained strong as families are spending more time together at home baking. Our Skinny Pop and Pirate's Booty businesses grew approximately 20% and gain share. While March trends were strong, the situation has evolved rapidly in April. As a result, we've seen shifting consumer behavior. More regions have been acted shelter-in-place guidelines. Retailers have limited the number of consumers in stores as well as operating hours. And the medical community is recommending individuals wear masks in public and limit grocery store trips unless essential. A significant number of American households are not working and experiencing meaningful financial pressures. All of this has impacted traffic into stores, length of time in stores, and the amount of discretionary goods people are purchasing. While many consumers have shared, how our categories are helping them cope during this time and bond with their families. They’ve also shared how their shopping priorities have changed. Within salty snacks, DSP brands have begun to outperform due to stronger in-stock and merchandising levels. In addition, we've seen a shift to lower price per ounce offerings as many consumers experience financial constraints. As a result, Skinny Pop and Pirate's Booty have experienced share declines and softening performance over the past three to four weeks. For our confectionary business, we've seen declining sales in the convenience class of trade as trips have slowed. This represents approximately 15% of our North American sales. While we still have an opportunity to capture impulse purchases at checkout in other classes of trade, the significant changes we've seen in overall trips and basket size, over the past several weeks has limited the amount of flow back we've seen to other classes of trade. In addition, the government category has been significantly impacted by social distancing. These categories are much more functional than emotional and they've experienced declines of 40 to 50% over the past several weeks. One of these trends that I've just discussed have softened, growth in other areas of our portfolio remain strong. E-commerce growth has accelerated meaningfully, as many of you would expect and have likely observed yourselves, the number of consumers purchasing groceries online has increased significantly over the past several years. Our research indicates that 45% of consumers have used one or more online grocery options in the past four weeks, 23 points of them -- 23% of which use these services for the first time. We’ve seen similar trends for confection with household penetration also doubling over the past month. Consistent with these broader trends, our overall e-commerce growth rate has accelerated significantly with growth over 120% in March versus 60% in January and February. We are seeing growth across fulfillment models and across occasions, including in our Candy Dish offering, seasonal items and our single serve items. At one retailer 80% of the full year digital sales plan was achieved in the month of March alone. In the week leading up to Easter, 43% of Easter sales at this retailer were purchased online. And at another retailer, we were able to make more Easter items available online and shift inventory to maximize sell-through as consumer behaviors changed mid-season. As we've shared in the past, profitability in this key e-commerce segment is relatively in line with total company average margins and that continues to be the case as trends have recently evolved. We believe we are well-positioned to capitalize on these trends given the strong investment and enhanced capabilities we have implemented over the past several years. Our take-home confection business such as our bags of Kisses and miniatures are growing nicely. Baking chips, cocoa and syrup are also seeing elevated growth as families spend more time together in the kitchen. Throughout this pandemic, our proactive approach with our supply chain is paying dividends. Strong customer service has enabled us to partner with our retailers to consistently capture these consumer opportunities and maintain a strong presence in store. As I mentioned earlier, our case fill rate for the first quarter was very strong and has continued into April, despite the increasingly difficult operating environment. This tremendous work by our manufacturing and sales teams is evident in our recent market share performance. Hershey confectionery category share gains were up over two points in March and are up over three points to-date in April. Now, let me spend a few minutes discussing our international markets. As you all know, these markets represent a smaller percentage of our overall sales, but they're an important growth driver for our business. Whilst, specifics vary by country, we've consistently seen more COVID-19 related pressure in these markets than in the United States. This is driven by several factors, including more restrictions on manufacturing and retail in some countries, as well as less discretionary income, which impacts consumer’s ability to afford non-essential goods like chocolate. Parts of our business continue to perform well, including non-confectionery products like syrup, spreads, and milk. And we're winning confectionery share in the modern trade and e-commerce channel. However, some of our 2020 growth initiatives that focused on increasing geographic and traditional trade distribution have been delayed by the COVID-19 pandemic. We believe there's still tremendous long-term opportunity for us in our international markets, and we're maintaining an appropriate level of investment to capture these opportunities once the situation stabilized. In both our U.S. and international markets, we are actively reevaluating priorities and resourcing to adjust as the situation evolves. Like many companies, we are partnering with our retailers to make sure we have the right level of promotional support during these unique times. Our best-in-class retail sales force is a tremendous asset to help continue executing important promotional programs such as Seasons, S'mores, and Reese's Lovers. We are evaluating our media plan and adjusting both levels of support, messaging and channel when appropriate. For example, we've adjusted our S'mores copy to emphasize family consumption at home versus larger community and friend gatherings. We have taken savings from events like NCAA March Madness and Olympics and reallocated some to digital and our Reese's Lover promotion this summer, while leveraging some of that to cover incremental COVID-19 manufacturing and selling costs. We are proactively planning for Halloween and partnering with our retailers to be prepared for a strong recovery, while also making smart choices to mitigate risk if consumer behavior remains impacted. This includes optimizing our portfolio and price point mix and activation timing, as well as amplifying our e-commerce plan. Our ability to quickly pivot and adapt to the changes, along with our strong balance sheet and cash flow gives us confidence in our ability to manage through these disruptions and emerge stronger. While we are highly focused on managing the pandemic, we are also continuing to advance strategic imperatives that will be critical levers for us to drive the business going forward. We are however, taking a prudent approach and moderating the pace of some of these work streams, so that teams can adequately focus on the situation at hand. Specifically, we've chosen to selectively pause aspects of our ERP project, until all of our functional experts are able to focus on the critical design phase. We will continue to advance the finance and data work stream efforts of our ERP project, while we delay supply chain and order to cash efforts. We expect this to delay our overall implementation by about one year. Given the current demands on our supply chain team, as well as a desire for cash flow flexibility, we've also altered the pacing on our recently announced supply chain project. We do not expect any of these delays to have a material impact on our future growth ambitions, including those we have planned for 2021. Now, before I turn it over to Steve to share details on our Q1 performance, I wanted to take a minute to update you on some strategic choices we are making unrelated to the COVID-19 pandemic. In order to better prioritize resources against assets that, fit our business model and scale capabilities, we are working to divest our crates, shorts in burger and to global brands. We will share more information regarding these divestitures in the future. It's important to note that our learnings from recent acquisitions have underscored the importance of assets scale and margin profile. We are obsessed with scale assets closer to $100 million, with high margins that enable brand investment to drive growth. These are great brands that continue to resonate with consumers, but they require a different go to market model that we believe is better supported by other owners. These actions will enable us to prioritize our recently acquired scale assets, within salty snacks and nutrition bars. Now, let me turn it over to Steve.
Steve Voskuil: Thank you, Michele, and good morning, everyone. I hope you, your families and colleagues are safe and well. I plan to start with highlights from our first quarter results, including the impact from COVID-19 and then pivot to expectations for financial performance moving forward in light of the evolving pandemic. During the first quarter, recorded net sales increased 1% versus the same period last year, with organic constant currency sales growth of 0.5%. This was in line with expectations with only a modest impact from COVID-19. North America organic constant currency sales growth of 1.2% versus prior year was driven by net price realization as expected, a shorter Easter offset solid everyday sales grow by approximately one point in Q1. We did see a larger increase in consumer demand from stock up trips at the end of the quarter with total Hershey U.S. retail takeaway, up over 10% in March. However, this did not materially contribute to net sales growth in the quarter as retailer inventory was depleted to satisfy much of this demand. As we look to the balance of the year, we did not expect COVID-19 to permanently change our base inventory level assumptions. Though, we expect continued volatility and trends over the coming months due to the virus disruptions. The International and other segments reported in organic constant currency sales decline of 5.8% versus the prior year quarter. This was largely attributable to COVID-19 related softness, particularly in China, also included in this segment are, our own retail location, and our travel retail business that Michele mentioned earlier. While these businesses so minimal COVID-19 impact during Q1, we expect a more significant impact in the second quarter, given the shelter in place restrictions that were implemented in late March and early April. Now, turning to profitability for the quarter, our lever for gross margin expansion continue to be effective, with a 90 basis point improvement in the first quarter, increasing adjusted gross margin to 46.6%. Net price realization drove the majority of these gains and in addition to some benefits from productivity, as we proactively built inventory to mitigate risks related to COVID-19, recall, we expect Q1 to be our strongest pricing quarter of the year as we benefited from both the final phase of our July 2018 price increase and the implementation of our July 2019 price increase. Pricing in Q1 was in line with expectation and remains on track for the year. These gross margin games enabled strong investment in our brands and capabilities, selling, marketing and administrative expense increased 4.8% versus prior year, driven by planned elevated advertising level and investments in strategic growth capabilities. Operating expense for capabilities, including our ERP and supply chain program, or slightly ahead of expectations for the quarter due to timing, however, remain on track for the year. Recall, we also increased our incentive program for key levels in our organization in Q4 of 2019. For the full year, there's minimal impact from these changes versus 2019. However, due to the timing of the decision last year, the related incentive expense will be unfavorable in Q1, Q2 and Q3 and favorable in Q4. Adjusted operating profit increased by point 2% in the first quarter versus the prior period, and adjusted operating profit margin came in at 23.1%, reflecting a 20 basis point declines versus the same period last year. Gross margin gains were more than offset by operating expense timing. Adjusted earnings per share diluted were $1.63 for the quarter, an increase of 2.5% versus the same period last year. Continued growth margin strength and favorable tax enabled additional business investment and offset the Easter sales headwind and the International COVID-19 pressures to deliver solid overall earnings growth. Note the favorable tax in Q1 was driven by the tightening of tax credit. And we did not expect material changes to the full year tax outlook we provided in January. Given our strong cash flow and balance sheet, we are confident we will be able to manage through the current crisis, including maintaining strong liquidity. We believe we have adequate liquidity to meet our operating, investing and financing needs through operating cash flow, further supported by access to bank lines and commercial paper. At the end of the first quarter, we had approximately $1.1 billion in cash and cash equivalents on our balance sheet with $261 million in operating cash flow from the first quarter. We will continue to evaluate the situation moving forward and plan to prioritize cash utilization to meet our liquidity needs. Our strong free cash flow and healthy balance sheet continue to remain a core strength and competitive advantage in these uncertain times. Recall in January, we announced two significant investments for 2020 and 2021, including the ERP transformation and the supply chain capacity and capability initiative. We plan to continue to move these projects forward, as both investments are strategically important for long-term growth. That said, as Michele mentioned, we did pause certain aspects of these projects, and reprioritize other capital projects to enable our teams to focus on the current crisis. This is anticipated to be late our ERP implementation by approximately one year. As a result, we now expect capital spending in 2020 to be approximately $400 million to $450 million, rather than the $500 million we communicated in January. In addition to investing for growth, returning cash to our shareholders remains a key priority now and over our 126 year history. This morning, we announced the second quarter dividend, which is our 362nd consecutive quarterly dividend on the common stock. Additionally, the company repurchased $150 million of common stock in the first quarter under the $500 million authorization approved by the Board in July 2018 $260 million remain available for repurchases under this program. We also repurchased $19 million of common stock in connection with the exercise of stock options. We remain confident that our capital stewardship and allocation priorities will allow for continued strong and sustainable shareholder return. Let's move now to a discussion of our financial outlook and expectations for the balance of the year. Due to the rapidly evolving situation and the high degree of uncertainty, we do not believe we are able to estimate the full year financial impact with reasonable accuracy, and therefore, believe it is prudent to withdraw our fiscal 2020 full year guidance at this time. As we navigate this dynamic situation, we understand transparency is more important now than ever before. The uncertainty around a few key variables and the subsequent impact these could have to our outlook influenced our decision to withdraw guidance. These variables include the length and severity of the pandemic, the shape and timeline for recovery; the associated impact on retail restrictions both in the U.S. and internationally; the changing consumer behavior from shelter at home restrictions, including potential impacts to participation in key season; and the ability of our supply chain to execute and meet customer and consumer needs. Each of these variables could have significant implications to our growth and profitability. Michele shared with you the trends that are impacting the retail environment and consumer behavior. Some of these sales risks and opportunities also have impacts on profitability, namely risks related to our high margin, instant consumable products, particularly in the convenience class of trade, and our refreshment brands could dilute profitability. The announced compensation program for the manufacturing team along with increased plant sanitation and personal protective equipment, will add approximately $25 million to $30 million of incremental costs. However, we are seeing some efficiencies in the plant from running our largest, most efficient SKUs, which is helping to partially offset some of these expenses. Let me now spend a minute on our supply chain productivity initiatives. We had a strong start to productivity in Q1 with over $20 million of savings. However, to enable our teams to focus on COVID-19 priorities, we have deprioritized some planned productivity initiatives worth approximately five to $10 million in Q2. We remain confident in our ability to deliver against our long-term productivity goals. While commodity prices for some of our key ingredients have recently declined, given our hedging program, we expect minimal benefits to 2020. These declines do, however, improve the profile for 2021 versus our outlook in January. Operating expenses are expected to increase approximately $10 million to $15 million as a result of a new incentive program for sales representatives and increased sanitation and personal protective equipment. We anticipate savings related to travel and entertainment, given travel restrictions and social distancing practices to at least partly mitigate these impacts. While we feel there is too much uncertainty at this point to provide a reasonable estimate of the full year financial impact related to COVID-19, we want to provide reassurance that we are being both proactive and agile in managing our performance as the pandemic unfolds. We build inventory in the first quarter to anticipate demand and limit disruptions. We've taken a hard look at capital spending and reprioritize to ensure adequate resources to address both COVID-19 related projects and those critical for strategic growth. We are dynamically adjusting our trade and advertising plan. We are actively monitoring the commodity and financial markets for long-term opportunities. All of these decisions are being made with the priority of ensuring the safety of our employees and communities, while being fully prepared for the recovery. Michele and I could not be prouder of our team for bringing their best every day. This forward leaning, agile mindset, and high performance culture will help us persevere through this crisis and seize opportunities in the recovery. We are confident the uncertainty we face is temporary and then our decisions and adaptive operating model will help us forge relationships with customers and consumers, allowing for sustained long-term growth. Now, let me turn it back to Michele for some closing remarks.
Michele Buck: Thanks Steve. As we look ahead, we expect the environment to remain volatile as the COVID-19 pandemic and consumers financial security both evolve. But we remain confident in the strength and resiliency of our category and brands over the long-term, and our remarkable leaders and employees who are executing against our strategies, reacting to current changes, and capitalizing on the opportunities that this change presents. The Hershey Company has more than 125 years of experience managing through tough, fast moving, and unprecedented moments in time; two World Wars, economic depressions and recessions, and other momentous events. Each time we plan, we took action, and we learned and adapted. And we kept our focus on making the best decisions for our employees, our partners, our stockholders, our communities, and the consumers that we serve. This moment in time is no different. It calls for us to be our best working together with compassion and understanding to do what's best for our global society. And we believe that this resilience will only make us stronger in the days and the years ahead. Steve, Melissa, and I are now available to take any of your questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Andrew Lazar with Barclays. Please proceed with your question.
Andrew Lazar: Good morning, everybody, and hope everyone is doing well. And thanks for a lot of granularity in the prepared remarks.
Michele Buck: Thanks, Andrew. Good morning.
Andrew Lazar: Good morning. I want to start with -- obviously, things are still incredibly fluid and they will remain so for quite some time. And none of us know exactly how or if, you know, ultimately, consumers will alter the way they sort of -- alter the way they celebrate key seasons and things. But you mentioned Michele, a couple of them a couple of actions to sort of mitigate risk or making some smart choices around being able to pivot quickly if there are changes. Adding three of the things you mentioned, were optimizing the portfolio, potentially some changes to net price realization, and activation timing. I was wondering if you could just maybe comment just briefly on each of those. Just want to make sure I have a sense of what are some of the levers you could pull if there are some changes in the way we all think about and celebrate key holidays.
Michele Buck: Yes, absolutely. So, relative to Halloween, I know that you were asking about -- and there was actually a fourth lever of e commerce. So, let me talk about each of those. So, first of all, we are looking at the portfolio because we have seasonally dressed items for Halloween. We also have in the season, everyday assortment bags that play a key role. So, one area we're looking at is how do we mitigate potential risk of not knowing what consumer behavior will be by really optimizing what's the right balance of seasonal and everyday type items? We're evaluating the price points relative to understanding that some consumers may be financially strapped. How do we look at some of those higher price points and make sure that we have enough entry level price points and that the balance of the portfolio across price points, accounts for the fact that there will be some consumers going through financial pressures. Activation timing is really trying to keep our pulse on -- we know that we can impact these seasons based on when we set the season, we know that consumers will buy a season to bring the product in their house and there's some celebration in the house before the community events of Trick or Treat. And so leaning in a little bit earlier on some of the timing is a very reasonable option that we're discussing with our retail partners to be able to capture more celebration outside of just the Trick or Treat occasion. And then lastly, we are seeing e-commerce really dial up in Easter we saw that and so we are increasing our investments and activity to really have a great presence in Halloween, the right portfolio, bundled solutions across the needs for Halloween. So, those are really the key actions there.
Andrew Lazar: That's very helpful. And then just follow-up, I think you mentioned the number of 6% of sales was for food service, some of the retail locations, and I wasn't clear, does that include also China or was China separate from that number?
Michele Buck: Yes. No, that includes China and also our world travel retail business, which of those stores that -- product we sell in duty-free stores in airport.
Andrew Lazar: Great. Thanks so much. Hope everyone stays well.
Michele Buck: Thank you. Thank you.
Steve Voskuil: Thank you.
Operator: Thank you. Our next question comes from line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: Hi. Thank you for the question. I appreciate it. I guess -- there is a lot to cover here. Let me ask about 2Q. Is your visibility better for 2Q than it is for the rest of the year? And can you give us -- maybe Steve, some of the puts and takes here. The gross margin benefit you've got in the first quarter, does that come out of 2Q. And then secondly, the retail sales growth as measured by Nielsen was really high, much higher than your shipments. And is there any timing impact with respect to 2Q like will that come back at all or is that just Easter being a week earlier. Thanks.
Michele Buck: Hey, Rob, let me start by addressing some of that. So, first of all, I would say we do have greater visibility to Q2 because we're already halfway into the quarter. So we do have stronger visibility there. As you may recall, we had planned for a difficult Q2 prior to COVID as a result of some of our year-on-year lapse. And then our decision to close our retail locations for most of the second quarter, that's a known that's within our control. Certainly the impacts that we're seeing with restaurants closed in the second quarter that's a known that we can see the known impact on food service, the reduction in flights, we can see that that's a known relative to travel retail and then we also had some elements of cost that are knowns which include manufacturing and retail incentives, one-time costs on PPE and safety protocols. So, we do have a lot of visibility around those things. Relative to the kind of the gap or the disconnect in Q1 between retail and shipment, let me address that and then I'm going to let Steve make some other comments about Q2. If you look at Q1, you can really break up that differential with about half the differential with retail being ahead of shipments was driven by Easter. As you know, we always have Easter in Q1, but the amount of Easter that gets consumed in Q1 is all dependent on the timing of the Easter holiday. This year, Easter was a bit earlier than last year and therefore, much more of the season was actually consumed, taken away in Q1 versus last year. The other half of the differential in the retail sales to shipments, part of it is innovation. We shipped Take 5 and Kit Kat Duos in December to set up for strong merchandising in Q1. So, you got shipments in December, you got the takeaway in Q1, and then the other component is some inventory.
Steve Voskuil: Yes and I want to add, of a good complete answer. We have good visibility into the costs I think for Q2 and Michele went through most of the things like the incentives and the sanitation are well known and we talked about those in the prepared remarks. The productivity piece, the 20 that we saved in Q1 doesn't come or doesn't go away in Q2, but we would have expected to add to that, and you need to grow and that's the piece that won't happen that we had in the plan. And then maybe the third piece that we touched on a little bit sort of implied as we talked about the top line as there is probably going to be some negative mix impact coming through, again, thinking about refreshment in convenience store impacts in the total mix. And that's probably a $5 million to $10 million gross profit impact for the year.
Robert Moskow: Okay. I do have a follow-up. You mentioned your in-store execution and your sales incentives as a way to maybe mitigate some of the category declines and take share. But are some of your retail partners, limiting the amount of people that will allow in the stores, just for social distancing reasons and does that impact your execution at all?
Michele Buck: So, some of course are, but as we've worked out with our retail sales reps and partnered closely with retailers, even before that we had worked with them with a lot of our partners to have our team go in during off hours to try and bring our product and set displays when they're either work consumers in the store or at the very lowest periods of time. So, I would say, well, there is some impact. I would say, largely we've partnered really closely with retailers to work around that, both in terms of the safety and social distancing of our employees as well as helping the retailers to kind of protect and manage the number of people in their store. But largely, they've been really supportive and appreciative of the extra help which they desperately need obviously as consumers are purchasing a lot.
Robert Moskow: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of David Driscoll with DD Research. Please proceed with your question.
David Driscoll: Great. Thank you and good morning.
Michele Buck: Hey David. Good to hear from you.
Steve Voskuil: Good morning.
David Driscoll: What a pleasure, thank you. Good to be here. So, let me follow-up on Rob's, because I -- while I think you guys gave a good list of things in 2Q. Maybe there is some numbers that you gave that I feel like were annual like the PPE expense, the personal protective equipment and then something specific to the second quarter. So, I'm just a little confused on what expenses were allocating to the second quarter that you know of right now versus the sales side. And then can I can I just follow-up on this. I mean you've said it I think twice now, but I still think I'm not clear, it sounds like there are some -- there is at least one positive with how the retailer inventories ended at the end of the first quarter. And I think you said in the script that you haven't made any changes to your retailer inventory assumptions. So, that sounds like there is going to be a recovery of those retailer inventories in 2Q, which would be favorable to sales. So, again if you -- I apologize here, I do appreciate you've said this, but are you saying that Q2 sales are maybe a little bit better than expected versus where you previously had it, but on the expense side, that's significantly more negative because of the PPE costs, the incentive costs. And then there is I think a couple of other items that you wanted to call out right there in 2Q that we're hitting it the mix. Sorry. Appreciate it. The mix to what's going on in the business? Thank you.
Michele Buck: Yes, David. The large majority of the cost increases really do hit in Q2. If you think about the biggest pieces of that the manufacturing and retail incentives, one-time costs around PP&E, the pull back on productivity was around Q2, there is some mix impact with the pressure around refreshment and C-store. And so if you look at that, by far the biggest impact is in Q2. Some of the PP&E and safety will continue throughout the year. And then there are some potential offsets, less travel that will have the benefit of throughout the year. We continue to kind of look at trade in DME optimization. There could be commodities, but not a large number. And as it relates to the inventory, I think, my gut would be that at some point we get a little bit of that back, but we don't know for sure and we definitely don't know that it will be in Q2. In fact, if I was just looking at what's going on in the world right now and at retail, my gut would be that likely wouldn't be in Q2, but instead, would be some point later in the year.
David Driscoll: All right. That color is really helpful. Just one follow-up from me. I don't think you said how your China business was performing in April. Is there any insight we can gain right there? Are you seeing any sign of recovery? I mean a nearly 50% decline in that business in Q1 is really large. So, is there any color you can give us on how 2Q might shape up for Hershey China?
Michele Buck: Yes, I mean it's better than we anticipated. It's better than we saw in February, but it's clearly in a ramp-up recovery. So, it's not close to back to normal yet. But we are watching that on to leverage any insights and I think the biggest insight there is just the move from offline to online is very real, it's continued and just like we think it will here in the U.S.
David Driscoll: Thank you so much.
Operator: Thank you. Our next question comes from the line of Ken Goldman with JPMorgan. Please proceed with your question.
Ken Goldman: Good morning. Thank you. My first question is, is there anything you can do to protect yourself right now, whether it's buying product ahead of time or potentially considering diversifying your geographic sourcing. Because there is obviously Western Africa has not been hit very hard by COVID yet. There have been some suggestions that maybe it will get hit harder later in this year. What are your concerns about that? Just given how much cocoa you source from one region and, again, what can you do to maybe mitigate some of those concerns, potentially?
Steve Voskuil: Yes, right now our supply chain team has done a fantastic job and so aside from cocoa some of our more specialty small ingredients even certainly in the first quarter as COVID starting to get traction they bought some of those ahead to get ahead of it. Right now, I think we feel pretty strong about our cocoa supply, I can tell you our procurement team is very deep into that market on a good day, and they are even deeper here in looking at alternative suppliers and so. So, far harvest looks strong and we don't see anything in the medium term, that causes a lot of concern on cocoa supply.
Michele Buck: Yes, what we need for the year, like those quantities are already here. So, they're out of that region. So, as we look at this year, we're in good shape and that gives us time and we're working closely with those governments as well. Obviously, this is important crop for that geography and we're working closely with them to make sure that they are set up to handle it.
Ken Goldman: Okay. Thank you for that. And then one quick follow-up. Thank you for the color on what's in the 6% number in terms of branded stores and World Travel locations and so forth. One question that I was asked, I wasn't sure how to answer was, how big our movie theaters, sporting events, things that maybe are not captured in Nielsen, first of all, is that in that 6% number as well and second, can you give us any kind of any kind of rough size for what you would think those types of channels might be. I know I'm being vague with the question there.
Michele Buck: No, that's okay. Some of that falls into our broader specialty business and that might be another 2% to 3% of sales again some impact.
Ken Goldman: Great. Thanks so much.
Operator: Thank you. Our next question comes from the line of Alexia Howard with Bernstein. Please proceed with your question.
Alexia Howard: Good morning, everyone.
Michele Buck: Good morning.
Steve Voskuil: Good morning.
Alexia Howard: Hi. So, again focusing on the trends that you're seeing in Q2 now that the doctor settled on the panic-buying phase. Could you give us by channel, how things are looking. So for example, how big are you overall in e-commerce and how quickly is that growing right now and it's not different from the past. The C-store channel I think you mentioned that was about 15% of sale how soft is that right now? And we assume that the food service in China that 6% of the business as well down at the moment. And then also taking a look at it by product type, if you think about import versus seasonal versus every day, how fast are each of those growing or shrinking if I imagine some of the maybe relative to what you would normally expect? Thank you.
Michele Buck: Okay. Let me do my best on that one to try a great set out. So, C-store is about 15% of our sales. It's declining about 10%. E-commerce is about 2% of our sales and we're seeing the growth rate double there. Now, of course, that's just what we've seen recently. So, all of these are the recent trends. So, of course, I can't predict exactly how that will play forward. Walmart and mass channels and dollar stores, grocery have had pretty good trends as people are really shopping there. They are frequenting those places and also all of those places tend to have or many of them and e-commerce leg that's being leveraged. I'd tell you the other place we are seeing some softness is around drug. So, drug and C-store are the two channels that I think we've seen the biggest softness, plus there were initial huge stock-ups of the initial stock up behavior with huge at clubs, that's moderated a bit. Melissa might have to come back and give you maybe more of the details around the specifics on each piece of trade. But I would say C-store is 15% and drug in that probably 8% range of our total business, and those are the places that are most pressured and then, of course, the rest kind of fall in the middle. If we look at take impulse, take-home and seasonal clearly the softness on impulse is a little bit less than you see in terms of the 10% decline in C-store, because we do still have business coming through, food, drug and mass, so less than that 10%. Take-home obviously driving our growth and seasons we had a really good Easter. So, at this point, what we're gearing up to do is to -- we met our expectations, our sell-in, our net sales shipments, we fell just short on takeaway. So, seasons, I call kind of a wash and then take-home is where we're seeing the strength. But Melissa can give you more details I think offline on that.
Alexia Howard: Perfect. And then a super quick follow-up. I think you said that Easter was down as expected, because of the shorter season, but it was also a bit weaker than expected, presumably because of the pandemic. Is that the way that we should be thinking about it?
Michele Buck: The sell-in was on expectation. The sell-through was -- yes, was a little bit weaker than we anticipated. Really strong sell-through up until the final week. The final week of Easter happened at the same week that the government started to recommend the consumer is not going to grocery stores, unless it was essential and many of the big retailers started limiting the number of consumers they would allow in their store at one time. And we saw a direct impact on that, on that last week of Easter. But basically that will not cause that softness in the sell-through in the last week really shouldn't impact the P&L.
Alexia Howard: Okay. Thank you so very much. I'll pass it on.
Operator: Thank you. Our next question comes from the line of Bryan Spillane of Bank of America. Please proceed with your question.
Bryan Spillane: Hey. Good morning everyone.
Michele Buck: Hi Bryan.
Steve Voskuil: Good morning Bryan.
Bryan Spillane: So, I had a question just on -- just one question around the end of line manufacturing flexibility you have with packaging. And I guess my question is around, if we're looking going forward at a scenario where it's more e-commerce, which is, it's sort of a different type -- it requires a different type of packaging, maybe more grocery and mass more at home less convenience and gas. And then also maybe needing packaging flexibility to address affordability, maybe different pack sizes or different types. Do you feel like with the investments you've made in recent years that you have the flexibility to sort of make those shifts and be able to kind of service if that's where the business SKUs over the next six to nine months?
Michele Buck: Yes, I would say, largely, we have flexibility in our manufacturing. I mean we already have a portfolio of products that we're meeting e-commerce demand and that demand has been across every pack type whether it's candy dish, whether it is instant consumables, et cetera, we already have a multitude of pack sizes that we've always done. This is a category that that lives on many different pack types for many different occasions. And then certainly as we're doing some of our supply chain work going forward, one of our goals is to put an even more automation to hopefully improve margins as we do that, but we are well set up to be able to adapt to different packs and sizes right now.
Bryan Spillane: And if I could just one follow-up to that is, we've seen in other categories where retailers are kind of narrowing SKUs, want to be in stock, with the highest-velocity SKUs. Have you seen any of that yet in your categories?
Michele Buck: Yes, we are. And we think we're well positioned there. As you know, we had just gone through a big SKU rationalization program to get rid of some of the smaller SKUs and on the normal course of business, as we grow our business, we have all of our SKUs categorized with the very highest movers, there is a must haves, must be protected at all cost and then we kind of go through our portfolio. So, we've always managed our business in that way. So, we've been well set up to serve in that priority environment.
Bryan Spillane: Okay. Thanks Michele.
Operator: Thank you. Our next question comes from the line of Jason English with Goldman Sachs. Please proceed with your question.
Jason English: Hey. Good morning. Thank you for sliding me in. I guess I'll pick up on one thread from Mr. Spillane in terms of e-com. As we think about maybe what could be different in 2021 assuming all these issues come to pass. The amount of sales going to e-com sounds like it could be the one durable change. So, quick question, just to get a little more context around it. And I guess what really my angle here is to understand the impact on your impulse oriented sales. I think historically you've said about a 30 year portfolio is impulse and you're saying today 15% of that's going through C-store. How much of that is going through food, drug, and mass?
Michele Buck: I mean the other -- that would be the other 15%, basically the other between the difference between 33% and 15%, I would say, largely. Let me just think about--
Jason English: And there is a little bit of lending in there too I think.
Michele Buck: Yes, that's what I was trying to think how much would be in those specialty channels spending would be the biggest piece of that. We have some in Club as well in terms of reseller packs at Sam's. I mean, I guess I would estimate, I'm going to say may be 15% maybe fundraising Lending Club and specialty are 5%, so I'd say maybe 15% goes through drug and mass.
Jason English: And how is that 15% tracking today?
Michele Buck: It's tracking much better than the C-store. It really varies by channel. The drug piece would be the softest piece because overall drug is just not getting as much traffic. I think a lot of people are using drive through all options; people are trying to stay away from smaller stores. So, the larger majority of that is really going through mass and grocery. It's still softer than take-home, but it is still growing in some of our retailers.
Jason English: Okay. So, is that sort of reflective of what life looks like in the lower trip frequency environment and people stick with the sort of online replenishment and trip frequency is lower. Do you think it's reasonable to assume that if there is risk to like lost business that can be a bit more durable? That's the risk. So, we're talking about a couple of points of sales which may -- that may not come back. And is there anything else that you would highlight that we should be cognizant of as we think about the impact to your earnings power in 2021 or beyond?
Michele Buck: Yes, I mean I think with less trips, certainly there is some risk there and that creates some of -- some bit of a mix and sales risks. However, I guess the other thing I'd ask you to think about is, as we look at our e-commerce business, we have instant consumable strength in e-commerce. So, one of our biggest selling items has been instant consumable, both singles, as well as we sell case packs that have maybe 24 instant consumable items in them. And given that our margins are strong, we don't really discount and bulk the instant consumable items. Driving the growth there, our goal there is to continue to drive the growth there which offsets how the consumer behavior is evolving and changing. I think the other opportunity is really for us to just kind of drive against kind of the push that as consumers have less trips they're also executing bigger baskets and so really focusing on that as an opportunity as well.
Jason English: Yes, got it. Thank you very much. I'll pass it on. Stay safe, be well.
Michele Buck: Thank you. You too.
Operator: Thank you. Our next question comes from the line of Rob Dickerson with Jefferies. Please proceed with your question.
Rob Dickerson: Hi, great. Thank you so much. So, just sort of question on pricing, I mean it seems like you're saying the last week pre-Easter weakness really shouldn't impact the P&L in the near-term. Maybe that suggests that the promotional plans have really been altered, but then I think it also sounded like, you said promotional spend could be increasing your price mix sharpened as you go through the year, right, to maybe increased demand overall, but then I also heard that maybe you're pricing plans remain on track. So, obviously, there are just a number of comments in there. I just wanted to clarify. Just in general pricing environment and we've heard Easter didn't go so well seasonally let's say in Europe, but obviously because the COVID buying, right, you kind of mask some of that seasonal weakness is there too much product still on the seasonal based on the shelf does that have to be sold through sounds like inventory levels have come down, but pricing sounds to be okay. So, any commentary you can just give kind of around the overall pricing dynamic will be great. Thanks.
Michele Buck: Yes, I guess, first I'd start by saying, we feel good about our pricing strategy for the year and our current initiatives are on track and we really don't expect any material changes as a result of COVID. So, we were expecting in that two to two and half points of pricing in 2020 and we continue to believe that, that will be the case. As we look at promotional spending, at this point in time in our category a lot of our promotional spending is utilized to drive display. So, we are unlike some other categories that are less impulsive where people use price to have a temporary price reduction and really low pantry. That's not really how our category works. So, given our retail sales team is out there in force, we're continuing to get display. And so we aren't seeing a big pullback. There could be some small coupled -- couple of million dollars that come back from trade, but I think in general, we're continuing to drive against that. And then really relative to the -- we're just trying to be sensitive to the consumer environment around the financial constraints which is one reason that we continue to believe some of our promotional support makes sense than the display. And then during the holidays just making sure we have the right array of price point. So, I don't think about that as being an absolute reduction in price, because that's really not about the price realization per pack, it's just more what is the absolute price point. So, that consumers have options if they want to buy multiple or a bigger pack, they can and if they're going to buy less, so that's less kind of about the price per pound. Does that answer your question?
Rob Dickerson: Yes. No, that's actually very helpful. I mean it sounds like basically if there is somewhat of a mix shift -- you talk about mix in terms of margin and time to make some pack size, et cetera, could affect pricing. But it sounds like maybe you could offset some of that with potential reduced promotional spend and display, so kind of net-net, at this point you feel like we're kind of okay. Does that make sense, back to you.
Michele Buck: Yes, I would say net-net, we think we're okay, yes.
Rob Dickerson: Okay, cool. And then just quickly and more broadly look over time, we've heard a number of larger food companies have said they actually do better online, but their online share can actually be better just given page one display and overall brand awareness. Obviously, there is a whole conversation around the channel shift. If we just think about online specifically in all the other channels, would you just say yes, we think, given our investment brand awareness, what have you. If we do shift into more than online purchase society over the next few years that we should be taking more share of category. That's it. Thanks a lot.
Michele Buck: Sure. Yes, I mean we feel good about our ability to drive the business and capture share online. We're looking at total online share is a little difficult because there are a lot of unique businesses that have direct to consumer businesses online. But if we look at kind of the big retailers and the pure play big retailers in that space, yes, I feel pretty good that that we should be able to continue to drive share there.
Rob Dickerson: Thank you, Michele. Stay safe.
Operator: Thank you. Our next question comes from the line of Nik Modi with RBC. Please proceed with your question.
Nik Modi: Yes, good morning everyone. Michele, the share gains look really healthy and obviously you indicated they accelerated. So, I'm just wondering, what do you think is driving that? Is it a function of just the fact that your fill rates were so good? So, you have the product available. We are hearing about one of your major competitors of scaling back on some of the SKU count. So, I'm just curious what you're seeing and what you would attribute some of that market share gain to?
Michele Buck: Yes, I would absolutely attribute it to our customer service levels. So we've been able to maintain incredibly high customer service levels at that 98%, 98.5%, 99% depending on the month. I think within that we have had very good availability across our portfolio. So, we've been pretty much able to meet the specific product demands as well. So, huge kudos and credit to our manufacturing team who has just done an outstanding job of being ahead of this, building inventory ahead of this, getting raw materials in ahead of this, working with their teams and all of our manufacturing employees who supported doing this. And then I would also say having our retail sales reps out there building displays, stocking shelves, that has also been a very positive impact. So, yes, I would say a lot of it is about the strength of our company in the past has always been a lot around operational excellence and execution, and I think that's really benefiting us on top of course the fact that we feel great about the brands and the programs we've had out there, but I do think that's been a difference maker.
Nik Modi: And just going back to the question, any changes in the competitive landscape. We are hearing again, one of your major competitors is looking to do their own SKU rationalization program. So, I'm just curious if you've seen that in the marketplace or if you've heard the same?
Michele Buck: No, I mean, I'd say the only -- we've probably heard similar things as you had regarding a couple of competitors in the category, who may have supply, not a solid position on supply.
Nik Modi: Great. And then just quickly on the size of SKU. So, if you think about a lot of the volume that was probably sold over the past several weeks, my suspicion is and maybe you can confirm that it was all large bags multi-packs. Just curious how you guys are thinking about at home inventory depletions just given general consumer behavior. I mean, my sense is, it's going to take some time for them to work that inventory down. But just love your thoughts on that. I could be wrong.
Michele Buck: Yes, I mean, obviously, we didn't get as big of a stock up as like say some of the main meal categories. So, I don't think that that there is a huge backlog. But certainly as we get through the quarter, that will be something that we will learn more about. We do know that the things that are selling best or things that are around take-home occasions, snack size assortment bags, six packs of Hershey Bars for people to make S'mores at home. Twizzlers which one of the key uses for Twizzlers is when you're watching movies or TV, so I think we know which items are getting consumed the most rapidly. And like I said, we don't have a huge stockpile, but that is something that will play out in Q2 and we'll get a better feel for how quickly people utilize those. We also, know, hey, they are baking a lot at home and so there are other indulgent categories that we're competing with for those usage occasions at home.
Nik Modi: Great. Thanks a lot. Stay healthy.
Michele Buck: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Growe with Stifel. Please proceed with your question.
Chris Growe: Hi. Good morning.
Michele Buck: Hi.
Steve Voskuil: Good morning.
Chris Growe: Hi. I just had two questions, if I could. I was curious first of all, Michele if you could speak to your thought here, the concept of the thought around guidance. And it sounds like and I'm taking good notes, and there's a lot of little factors you've given around the second quarter, but you seem to have pretty good -- a pretty good visibility into that quarter. Is there a factor too that worried you about giving guidance for the upcoming quarter or having a good read on the quarter given you seem to have good visibility across a number of different areas of the other P&L?
Michele Buck: Yes. So, as we mentioned, we do have a lot of visibility into Q2 of some of the things that we know will hit us. We mentioned the 6% of the business, a lot of those businesses essentially being closed or down based on governmental regulations. We certainly know that we've got in that $45 million of cost that will hit in Q2. If you add up manufacturing and retail productivity some of those elements, so we do have that at the same time, we still don't know how the rest of the quarter will play out and we're seeing that every single week we get new pieces of news or information that make it difficult to know if something else is coming our way. And certainly, then I think as we look to the rest of the year, we have significantly less visibility there. We certainly have tried to share what we think the biggest risks and opportunities are in the portfolio. The opportunities we're driving at, how we're managing against the risks, but much less visibility there. So, yes, I would say that's where we kind of stand.
Chris Growe: Okay. And then I just was curious, a quick question about your international business. Obviously, China has gotten better rather still down as you noted. Are the -- the other countries, in India, Brazil and Mexico, just a bigger risk of declines is that one area of uncertainty you have also in the second quarter?
Michele Buck: Yes, international is definitely an area that remains a risk. Each country, each area is in a different state in the growth or stage of the pandemic and each government is acting quite differently. So, we have some markets like Mexico or India, India is really on a lockdown for four weeks. We have some of those markets where it's difficult for our employees to actually get to work, based on what's happening with public transportation, based on government regulations about people in certain areas, not traveling to other areas. So, we are facing a lot in those markets. And I'd say that's really primarily in Mexico and India as the two biggest impacts. But yes, it is in that camp of more uncertain at this point in time.
Chris Growe: Just one final point on that. Is it likely that the international business could be weaker in Q2 than it was in Q1 even though you don't have that unique China experience?
Michele Buck: Yes, I would say there is a lot of uncertainty in international such that I'm not really sure that I could say for sure how that's going to play out. I think that's one of the uncertainties for Q2.
Chris Growe: Okay, that's fine. I appreciate it. And again stay safe. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Good morning.
Michele Buck: Good morning.
Steve Voskuil: Good morning.
Michael Lavery: With the heavy traffic at retail are you -- what adjustments are you making if any to promotional spending? And if there is any change in plans or those things that can drive savings or is it just shifting timing to a different point in the year?
Michele Buck: Yes, we haven't made a lot of big wholesale changes in promotions, because our promotions are really geared against display, because our retail sales teams are still out there and are able to build those displays and obviously there remains a lot of space in stores given outages in certain categories. We continue to be focused on making sure that we are really driving as much of our spending as possible to display any place that we didn't have any kind of temporary price reduction. We are trying to pull back on those and then certainly we are trying to gear the spending around the right programs that are relevant at this point in time. So, we continue to look at where we are there. We continue to partner with retailers in terms of how we meet their needs. At this point in time, I would say we are largely executing according to our plans for the year, but always looking if there is opportunity where promotions aren't going to make sense. They aren't going to drive consumers like a temporary price reduction. I don't think, well, how we convert that more to a display driving initiative or use it for something else.
Michael Lavery: Okay, that's helpful. And then you talked about it a lot of the puts and takes on the cost side and specifically a lot of cost headwinds that are more 2Q focused. You also have some of the marketing savings you mentioned and efficiencies from the bigger SKUs running to the extent that it goes both ways on the full year how does it net out? Is it a net negative or is it about a push, how do you see assuming just at least what you know now?
Michele Buck: Are you saying a net negative or a push on total cost impact to the business?
Michael Lavery: Exactly, yes.
Michele Buck: Steve, do you want to talk to that?
Steve Voskuil: The cost impact on a full year basis will be a net negative. I think we're not giving guidance for the full year until all of the other puts and takes on the variables that we're watching will come into play. Obviously, depending on the shape of the recovery, we would expect to see improvement in those costs, after we get past the challenge in Q2. But I don't think there is enough new savings to offset some of the deeper incremental costs we are going to face in Q2.
Michael Lavery: Okay. Thanks. And just a last quick one on the Hershey World Stores, how much seasonality is there to that with the percentage of sales in Q2 and 3Q typically be much higher?
Michele Buck: So, it depends on the location. Clearly for the Hershey-based store, there is big seasonality in the summer, because we are right outside Hershey Park. So, that one is highly seasonal. Las Vegas, I would say not so much and Time Square has a bit of a SKU to summer and to holiday because it's driven by that traffic, but not quite as much of a seasonal SKU.
Michael Lavery: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] It will come from the line of Steve Powers with Deutsche Bank. Please proceed with your question.
Steve Powers: Yes. Hey, thanks for taking the question. I guess if we just wrap all this up, I mean before we -- before this the COVID-19 situation, I'll started we were looking forward to an Investor Day update from you in March, which seems like a long, long time ago. But as you think back and think about what you intend to communicate that day, how much of the content that you feel would remain unchanged as it relates to your medium to long-term strategy at this point versus what degree do you think we're all going through now is likely to have lasting impacts on Hershey's future playbook?
Michele Buck: I don't think that what we are going through right now would have any impact on that content on our long-term strategies. What I would say is, some of it may shift a bit. So, certainly, I think there has been a step change in e-commerce that just now occurred that probably would have taken longer to occur in society around consumers' adoption of e-commerce around retailers' readiness. It would be smaller things like that, but largely our strategies remain unchanged. Our big initiatives in terms of what we think is important remain unchanged as well.
Steve Powers: Okay. And I guess maybe just a quick follow-up. I can tie it to your comments that you made today on the plans to divest the businesses that you highlighted. I guess how much -- was that a March communication or is that a decision that you've definitively come to more recently. It feels just a little bit surprising in the context of what were all -- what were in the midst of. So, I just wanted some clarity there as you -- I mean obviously you've made comments about this business in the past, but with the X now intend--?
Michele Buck: That was pre-COVID. That's been under way. It has been Q1, late Q4, probably started in Q4 or early Q1 activity to explore and to begin that work.
Steve Voskuil: Yes, I'd say we're always looking at everything in the portfolio, testing where its best place is and so no COVID impact on that.
Steve Powers: Okay. And is there any way you can dimension the size 2019 sales profitability of those businesses, just for some frame of reference?
Michele Buck: I mean they're small.
Steve Voskuil: Yes, they are small.
Steve Powers: Okay, fair enough. Thanks so much.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Ms. Poole for any final comments.
Melissa Poole: Thank you all for joining us this morning. I'm sure there are still additional questions, I'll be around all day to answer as many of them as I can. Thanks so much. Stay wealthy -- stay healthy.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.